Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q4 2019 and Full Year 2019 eHealth, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advice that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Ms. Kate Sidorovich. eHealth Vice President of Investor Relations. Thank you. Please go ahead, ma'am.
Kate Sidorovich: Thank you. Good afternoon and thank you all for joining us today either by phone or by webcast for a discussion about eHealth, Inc.'s fourth quarter and full year 2019 financial results. On the call this afternoon, we'll have Scott Flanders, eHealth's Chief Executive Officer; and Derek Yung, Chief Financial Officer. After management completes its remarks, we'll open the lines for questions. As a reminder, today's conference call is being recorded and webcast from the IR section of our website. A replay of the call will be available on our website following the call. We will be making forward-looking statements on this call that includes statements regarding future events, beliefs, and expectations, including statements relating to our expectations regarding our Medicare business including Medicare enrollment growth, consumer demand, our competitive advantage, our share of total Medicare and Medicaid advantage enrollment and growth in online Medicare enrollment. Our Medicare growth strategy and investments in the Medicare business including investments in telesales capacity, marketing initiative and our technology platform and capabilities.  Our expectations regarding the profitability of our business, seasonality, operating cost, lifetime values, retention rates and cost of acquisitions. Our estimate of the lifetime data of our Medicare plan and our expectations that enhancement to our Medicare advantage lifetime data estimation model will provide a more predictable forecasting of residual revenue and finally our 2020 full year guidance and outlook for the first quarter of 2020 including our assumptions and our ability to deliver on all guidance.  Forward-looking statements from this call represent eHealth views as of today. You should not rely on the statements as representing our views in the future. We undertake no obligation or duty to update information contained in the forward-looking statements whether as a result of new information, future events, or otherwise. Forward- looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected in our forward-looking statements. We describe these and other risks and uncertainties in our Annual Report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission, which you may access through the SEC website or from the Investor Relations section of our website. We will be presenting certain financial measures on this call that are considered non-GAAP under SEC regulation G. For reconciliation of each non-GAAP financial measure to the most directly comparable GAAP financial measure, please refer to the information included in our press release issued today and in our SEC filings, which can be found in the About Us section of our corporate website under the heading Investor Relations. And at this point, I will turn the call over to Scott Flanders.
Scott Flanders: Thank you, Kate and good afternoon, everyone. 2019 was a record year for eHealth punctuated by the strongest annual enrollment period in our company's history. And financial results that significantly exceeded our 2019 annual guidance across multiple metrics including revenue, GAAP net income and adjusted. Our Medicare enrollment volumes exceeded our expectations in the first three quarters of the year and building us to more than double our telesales capacity going into this AEP compared to a year ago and to make a significant investment in marketing and technology initiatives. These investments have clearly paid off as we achieved 88% growth and approve Medicare members in the fourth quarter of 2019 compared to a year ago. Growth in fourth quarter 2019 approved members for Medicare Advantage products was especially strong at 100%. We achieved these high levels of enrollment growth on a cost-effective basis as evident in our meaningful margin expansion compared to 2019. Equally noteworthy was a 200% year-over-year growth in our fourth quarter Medicare applications submitted online, which represents a combination of fully unassisted and partially assisted agent online enrollments. 36% of our fourth quarter applications for Medicare major medical products including Medicare Advantage and Medicare supplement plans were submitted by our customers online, a meaningful increase compared to 22% a year ago. Underneath that the unassisted online enrollments where customers never interact with one of our eight sales agents grew 107%, while partially assisted enrollments grew over 280% % in the fourth quarter compared to Q4 of 2018. Strong fourth quarter performance allowed us to significantly exceed our full year 2019 target of customers completing 20% of major medical Medicare enrollment online with actual online contribution coming in at 27%. These metrics are a strong validation of a strategic pillar of our business that a rapidly growing portion of Medicare customers not only feel comfortable transacting online, but will increasingly demand this capability and a maximum choice consumer friendly online experience, similar to the evolution seen in other consumer facing verticals such as the retail shopping, brokerage and travel markets. We are facilitating this accelerating trend for digital engagement in the Medicare market with further investments in our omni-channel, shopping and enrollment platform. Meeting seniors wherever it is easiest and most convenient for them to engage with us online or on the phone. Our industry NPS scores are consistently in the 80s to 90s range demonstrating the value we are providing to our rapidly expanding base of senior customers. ELs unique value proposition allowed us to grow our estimated Medicare membership at a rate that is 14 time the growth rate of the overall Medicare market and to grow our estimated Medicare Advantage membership at 5 times the rate of the Medicare advantage market. Turning quickly to the Individual and Family and Small business markets, approved members for the individual and family plan products grew 1% during the fourth quarter of 2019 compared to the fourth quarter a year ago. This was in line with essentially flat year-over-year enrollments seen in the broader individual market during the open enrollment and also reflected our continuing emphasis on the Medicare business in allocating our marketing resources. Approve members for the small business group products declined 16% during the fourth quarter compared to same quarter a year ago, as we focused on higher margin members while de-emphasizing smaller, less profitable groups. In addition to our strong operating results, the fourth quarter and full year financials reflect the positive impact of $42.3 million in revenue resulting from change an estimate for expected cash commission collections relating to some of our existing Medicare Advantage plans. Last month when we released our preliminary 2019 results, we were in the process of finalizing our work to enhance the Medicare Advantage lifetime value forecasting model and therefore provided our revenue, adjusted EBITDA and earnings ranges on an operating basis, which excluded this positive impact from our change in estimate. Derek will provide more details on these enhancements to our forecasting model and their impact on our financial results. For the full year, eHealth generated revenue of $506.2 million or 101% annual growth including the positive revenue impact I just described. 2019 adjusted EBITDA was a $133.2 million, 296% annual growth and GAAP net income was $66.9 million, also including the positive revenue adjustment. Revenue for the fourth quarter was $301.7 million, GAAP net income was $88.8 million and adjusted EBITDA was $142.6 million, again reflecting this benefit. Looking ahead, we anticipate the strong momentum we built over the past two years to continue into 2020. We expect to continue outpacing the overall market growth by leveraging our differentiated omni-channel engagement platform, demonstrated consumer value proposition and our demand generation expertise. At the midpoint, our 2020 annual guidance cause for nearly 30% revenue growth accompanied by EBITDA margin expansion including the positive impact from the enhancements to our MA LTV model on our 2019 results. Derek will go over some of the key assumptions behind our guidance in his prepared remarks. On the execution front, we plan to make further enhancements to our platform with an emphasis on ease and transparency of the online consumer experience. Our goal for 2020 is to reach a 34% contribution for Medicare major medical applications submitted online. And now I will turn the call over to our Chief Financial Officer, Derek Yung.
Derek Yung: Thanks Scott and good afternoon, everyone. On today's call, I will go over our 2019 financial results in great detail and provide our 2020 annual guidance, eHealth's fourth quarter and full year 2019 financial results reflect our strong execution and significant investments in Medicare related telesales capacity and marketing initiatives throughout the year as we continue to scale our Medicare business achieving strong revenue and enrollment growth, while expanding margins. Our results also included the impact of enhancements made to our Medicare Advantage lifetime value forecasting model that will enable us to better estimate lifetime values of our Medicare Advantage plans. During the fourth quarter, we work with an external corporate valuation consultant to assess our existing approach and incorporate statistical tools to increase the accuracy of our Medicare Advantage plans lifetime value estimates with an emphasis on improving our member retention forecasting. Since the adoption of ASC 606 for revenue recognition, our cash collections for Medicare Advantage plans have in general exceeded initial estimates suggested by our lifetime value model, reflecting the conservatism of our approach. This dynamic has contributed in the past quarters to the recognition of increasing amounts of residual or tail revenue from Medicare Advantage members approved in prior periods. At the same time, we have limited visibility into the precise timing of detail revenue recognition. Under our model, we were assessing residual revenue in the quarter when the entire commission receivable on a Medicare Advantage cohort had been fully collected. The exact timing of that final collection can be difficult to predict. Our enhanced model addresses this forecasting concern. To enhance model that we now have implemented uses a modified Kaplan-Meier statistical model rather than historical two year moving averages for the purpose of estimating Medicare and member retention. It is expected to result in lower volatility of our Medicare advantage lifetime value estimates and also provide for more predictable forecasting of residual revenue. We incorporate all relevant historical data into the model with larger weight placed on the most recent three years of observations to improve the accuracy of our lifetime value estimates. Going forward, we'll be assessing and booking residual revenue on each Medicare Advantage plan cohort when there is strong statistical evidence it would not result in probable reversal of revenue in the future. Currently for Medicare Advantage plans this would be around three years from the time of enrollments. Three years is about the average life of our Medicare Advantage plans and also represents a mark after which we observed significant decline in retention variability for the remainder of the cohort's life. Our fourth quarter financial results reflect a $42.3 million positive revenue impact from the change in estimate for expected cash commission collections for Medicare Advantage plans since we begin selling such products and through the third quarter of 2019. Total fourth quarter 2019 tail revenue related to Medicare Advantage plans was $50.8 million. It's important to note that even excluding the positive impact from the enhancement of the Medicare Advantage LTV model eHealth significantly outperformed our 2019 revenue, GAAP net income and adjusted EBITDA guidance. And now I will review our fourth quarter and full year 2019 financial results. In the Medicare business, our fourth quarter revenue was $282.6 million excluding the $42.3 million impact from the enhancement of the Medicare Advantage lifetime value model, fourth quarter Medicare revenue was $240.3 million, representing a 98 year-over-year growth. Full year 2019 Medicare revenue was $447 million. Excluding the impact of enhancement of the MA LTV model, our full-year Medicare revenue was $404.7 million or a 92% growth compared to a year ago. The strong growth was driven by a combination of growth and approved Medicare members and an increase in noncommissioned revenue in particular revenue generated from our Medicare plan advertising program. For the fourth quarter of 2019, the Medicare segment generates a profit of $149.3 million. Excluding the impact from enhancement of the MA LTV model, Medicare segment profit was $107 million, an increase of 82% compared to a year ago. For the full year 2019, Medicare segment profit was $155.2 million or $112.9 million excluding the impact from the enhancement of an MA LTV model. The estimated number of revenue generating Medicare members was approximately $711,000 at the end of the fourth quarter of 2019 up from $487,000 at the end of fourth quarter of 2018 or an increase of 46%. As Scott noted, our 2019 Medicare membership grew well ahead of the overall Medicare enrollments as reported by the CMS. I would also like to address the dynamics in constraining lifetime values of our Medicare members. During the fourth quarter, we continue to observe favorable changes and retention rates for the Medicare Advantage cohort that was enrolled into annual enrollment periods in the fourth quarter of 2018. In combination with higher commission rates in 2019 compared to 2018 and a positive impact from enhancements to our forecasting model, this contributed to a 2% increase in fourth quarter and a 5% increase in full year 2019 Medicare Advantage LTVs compared to a year ago. Fourth quarter and full year Medicare supplement LTVs both declined by 6% compared to 2018. This was primarily driven by slight decline retention rates in this book of business. Fourth quarter 2019 revenue from our individual family and small business segment was $19.1 million; a 44% increased compared a year ago. Full year 2019 revenue in this segment was $59.2 million, a 45% increase compared to 2018. Revenue growth was driven primarily by higher lifetime values for individual and family plan and short-term products, as well as residual or tail revenue from our existing individual and family plan members. This was partially offset by a decline in the number of approved members on individual small business group and related ancillary products as we continue to focus our investments in the Medicare business. The individual family and small business segment remain profitable on a standalone basis generating segment profits of $23.4 million for the four-year and $8.3 million for the fourth quarter 2019. Our estimated individual and family client membership at the end of fourth quarter was approximately 128,000 down 15% compared to the estimated membership we reported at the end of fourth quarter a year ago. The estimated number of members on small business products was approximately 43,000 at the end of the year, a 9% increase compared to a year ago. Total revenue for fourth quarter, $301.7 million, excluding the $42.3 million impact on the enhancement of the MA LTV model. Fourth quarter revenue was $259.4 million, an increase of 92% compared to the fourth quarter of 2018. Revenue for the full year 2019 was $506.2 two million, excluding the impact on enhancement of the MA LTV model revenue for the full year 2019 was $463.9 million, an 85% increase compared to 2018. Now I will review our operating expenses and profitability metrics. In 2019, we delivered meaningful margin expansion for the second year in a row. 2019 adjusted EBITDA margin excluding the positive impact of enhancement of an MA LTV model was 20% compared to 13% in 2018, reflecting fixed cost leverage as we grew our revenue base. Including the impact of an enhancement of the MA model, our 2019 adjusted EBITDA margin was 26%. At the same time variable marketing cost per approved member in our Medicare business increased as we invested for accelerated enrollment growth and market share expansion leading to higher costs for select initiatives within our direct and partner channels. A larger contribution from online advertising channels which on average have higher acquisition costs also led to an increase in marketing costs of acquisition. 2019 variable marketing costs per approved Medicare member grew 11% compared to a year ago. Customer care and enrollment cost per approved Medicare member grew 13% in 2019 compared to 2018. Similar to marketing costs, this annual increase reflects our significant investment in growth of our Medicare business. First in 2019, we made a decision to retain a larger number of agents during our low volume second and third floors and it started to hire in trained agents early in the year ahead of the annual enrollment period with a goal of increasing their productivity during the critical selling season and to accommodate our marketing initiatives during the special enrollment period. In addition during the annual enrollment period, we incur agent overtime costs during peak volume times and also saw longer than average call times reflecting increased selection and complexity of Medicare Advantage plans. Finally, our 2019 customer care enrollment costs include expenses related to opening of our new telesales center in Indianapolis. Adjusted EBITDA for the fourth quarter of 2019 was $142.6 six million or $100.3 million excluding the impact from the enhancement of the MA LTV model compared to $51.9 million for the fourth quarter of 2018. Full year 2019 EBITDA was $133.2 million or $90.9 million excluding the impact from enhancement of the MA LTV model compared to $33.7 million for the full year 2018. We calculate adjusted EBITDA by adding restructuring charges, acquisition costs, stock based compensation, change in fair value of our earnout liability, depreciation and amortization including the amortization of acquired intangibles, other income and provision and benefit for income taxes to our GAAP net income. Including the impact from enhancement of an MA LTV model, our fourth quarter 2019 GAAP net income was $88.8 million compared to $26.1 million in the fourth quarter of 2018. Full year 2019 GAAP net income was $66.9 million compared to $0.2 million in 2018. Excluding the impact from the enhancement of the MA LTV model, our fourth quarter and full year 2019 nine net income would have been lower. Our fourth quarter 2019 cash flow from operations was negative $56.8 million compared to a negative $8.7 million for the fourth quarter of 2018. For the full year 2019, cash flow from operations was negative $71.5 million, reflecting significant investments in our Medicare enrollment growth which accelerated in 2019 relative to growth rates we posted in 2018.  I would like to remind you that while we pay the vast majority of our member acquisition expenses in the same quarter when we generate enrollments, most carriers do not paid conditional commissions associate with enrollments during the annual enrollment period until January of next year when those policies become effective. The impact of this timing our cash cycle was exaggerated in 2019 as we share on the fourth quarter call a year ago in 2018, we saw some commission payments relate to our annual enrollment period enrollment come in earlier than we expected with a small percentage of payments being pushed out into the first quarter compared to historical patterns. This development had a beneficial impact in 2018 but had a negative impact on a cash flow from operations in 2019.  In January 2020, we received approximately $59 million in commission payments related to the fourth quarter 2019 enrollments. Capital expenditures which include capitalized internally developed software costs were approximately $16.9 million for full year. Our cash balance was $26.8 million including restricted cash and we had no outstanding debts. We ended the year with commission receivable balance of $589 million. And now I would provide our 2020 annual guidance. We are forecasting revenue for 2020 to be in a range of $580 million to $620 million with Medicare segment revenue in a range of $533 million to $569 million, an individual family and small business segment revenue in a range of $47 million to $51 million. We expect GAAP net income for 2020 to be in a range of $68 million to $83 million. We expect 2020 adjusted EBITDA to be in a range of $120 million to $135 million. 2020 Medicare segment profit is expected to be in the range of $152 million to $169 million and individual family and small business segment profit is expected to be in a range of $17 million to $18 million. Corporates share services excluding stock-based compensation and depreciation and amortization expense is expected to be in the range of $49 million to $52 million. GAAP income per diluted share for 2020 is expected to be in a range of $2.64 to $3.23 per share. Non-GAAP income per diluted share for 2020 is expected to be in the range of $3.56 to $4.09 per share. Cash used in operations is expected to be in a range of $52 million to $55 million and cash used for capital expenditures is expected to be $18 million to $20 million. At the midpoint our 2020 revenue guidance implies a 29% growth compared to our 2019 revenue excluding the $42.3 million positive impact due to enhancement of the Medicare Advantage lifetime value model. This growth is expected to be driven primarily by Medicare enrollment growth. Similar to last year, our 2020 guidance assumes no improvement in Medicare lifetime values. Based on the midpoint of our adjusted EBITDA guidance, we expect to generate a margin of 21%, a margin expansion of approximately 150 basis points compared to our 2019 adjusted EBITDA margin of 20% after excluding a positive impact of the $42.3 million from the enhancement of the MA LTV model. This margin expansion expected to be driven primarily by continuing leverage in our fixed costs. At the same time, we will continue to invest for growth in our telesales capacity marketing with combined marketing and customer care enrollment expenses growing roughly in line with projected 2020 revenue growth. On a per approved member basis in our Medicare business, we expect to drive improvements in customer care enrollment cost in 2020 to an increased contribution from fully unassisted online enrollments to total Medicare applications. Further leverage from our agent facing technology tools and managing for stronger cost efficiencies in our outsourced telesales model. Marketing costs per approved Medicare member expected to stay roughly in line with 2019 levels. Finally, I would like to make some comments with respect to the seasonality we expect this year. We're currently expecting a similar pattern in terms of each quarter's percentage contribution total annual revenue as in 2019, excluding the impact of enhancement of our MA LTV model during the fourth quarter of 2019. The fourth quarter will continue contribute disproportionately to revenue and earnings driven by the timing of Medicare annual enrollment period and Obamacare open enrollment period selling seasons. In a first quarter of 2020, we expect adjusted EBITDA to be relatively flat compared to the first quarter of 2019. I want to remind you that these comments in our guidance are based on current indications of our business and our current estimate, assumptions and judgments which may change at any time. Our actual results may differ as a result of changes in our estimates, assumptions and judgments. We take no obligation to update our comments or our guidance. In conclusion, we ended 2019 on a strong note delivering record performance during the annual enrollment period and expanding our share of the Medicare market. We're now pacing well ahead of our five-year financial plan that we share investors in May of 2019 and anticipate updating our long-term projections later this year. With that I'll turn it back to the operator for questions.
Operator: [Operator Instructions] Your first question is from Jailendra Singh of Credit Suisse.
JailendraSingh: Hey, guys. Thanks a lot. I would like to better understand the 29% comments you're making in terms of growth year-over-year. I mean if you x out and you take out $42.3 million number but if you x out all the enhancement in the LPD model how your core revenue growth would have looked from 2019 to 2020? Is it still 29% number, I'm just trying to understand that.
DerekYung: Yes. So, Jailendra, good question. So the 29% offer the midpoint of the guidance is a comparison to 2019 revenue excluding the $42.3 million.
JailendraSingh: So will you exclude $42.3 million or will you exclude $50.8 million and 2020 does not include any benefit from tailed revenue under this new enhancement.
DerekYung: Jailendra, the 2020 guidance there is implied tail revenue and expectation tail revenue from the Medicare business when you exclude the $42.3 million is to be flat.
JailendraSingh: Okay. And then I'd like to better understand the implication for the increasing the percentage of online enrollment, clearly pretty impressive increase from 22% to 36%. That should have given pretty decent margin leverage than what you actually reported. Is this something in a way you are incentivizing your brokers that you may not be yet realizing the full benefit of online enrollment at least on the assisted side. Any color on that?
DerekYung: Yes. It's a good question, Jailendra. So within that increase as Scott said in his prepared comments is there are two components. One around unassisted online enrollments where there is no interaction with call center agents which was the type that I think you were just referencing. And assisted online enrollments where the beneficiary would spend some time consulting with our sales agents in the call center, but then subsequently finished application online. And both of those, we see those-- both of those as positive customer experiences and the assisted online enrollment in particular is one where people would be more comfortable and need a little bit more help but is a ability that allows them to be able to take time and make a decision later on if they want to continue with an application process. We also see that area as a growth area in allowing more of our customers to experience an online enrollment experience. And really help us engage customer in a way that is just strictly through online techniques.
DaveFrancis: Jalandhar, it's Dave Francis. The other thing to consider is that we're continuing to invest marginal profits into growing the business. So the unassisted online side of the business where there is no interaction with the salesperson we are investing as we talked about consistently that that savings to drive more business into the online channel. So as the business matures from a growth perspective, yes, you will get even more incremental benefit from a profit perspective, but at the moment we're taking that incremental profit benefit and plowing it back into additional growth in the business to get more scale. Either way, we're always focused on making sure that we're driving high margin business as you can see in the expanding EBITDA margins with a high focus on profitability even though we continue to invest in an outsize growth of the business.
JailendraSingh: Okay. And then my last question, any thoughts around your financial flexibility, I mean timing around any potential capital raise based on your current cash and balance sheet and your cash flow guidance. It seems you might have to raise capital at some point, just wondering how you are thinking about a timing there.
DerekYung: Yes. Good question. We have adequate capital between the cash and the balance sheet and access to revolver to fund the growth plan. That's outlined in our guidance. Should we decide to invest in more growth we will have to seek financing and we have number of options to do that. One of those options is potentially increasing the size of revolver which we did successfully this past Q4.
Operator: Your next question is from George Hill of Deutsche Bank.
GeorgeHill: Hi, guys. I'm going to pretend that I'm smart enough to understand the Kaplan-Meier model when I ask a couple these questions.
DaveFrancis: We know you are so I know you want to dig into.
GeorgeHill: I do but probably most of those questions will have to come offline. I guess first could you talk about what the LTV would have been in Q4 under the old standard or before the adjustment?
DaveFrancis: It would have been slightly lower but not really material difference. So the enhanced model, the benefit of enhanced model wasn't necessary to have a higher LTV; it was to create, it is to give us statistical evidence and give us the confidence that we can recognize revenue based on observations that we've seen and comment on previously around cash collections being higher than initial estimates.
GeorgeHill: Okay. That's helpful. And then I guess one of the things where you guys outperformed our model was in Med D given that Med D is kind of a shrinking product versus MA. I guess can you just talk about the dynamic where you guys seem to disproportionately take share in the Med D book of business or grow Med D kind of -- grow Med D in a way that kind of doesn't reflect market growth of the product.
DaveFrancis: Well, so George, it's Dave. I'll answer it this way. We talk a lot about the tools that we put into the marketplace for customers to help them better determine what plan is best for them. And that has --a lot of that has to do with the drugs that they take. So whether it's on the MAPD side or just on the Part D side both our agents and our online tools for customers, we're seeing a lot of gravitational pull toward them because it helps people make a more intelligent decision about what they should be buying. So again as we continue to invest in the technology side of the business and I think we've talked about the fact that the large majority of our Part D business is done online unassisted that we're seeing the value of those investments pay off in terms of customer engagement and follow through on outsize growth in that part of the business as well.
GeorgeHill: Okay. And I guess my last one before I hop back in, as you guys have already provided guidance for the year and you've talked about the earnings guidance in Q1. Is there any commentary you can provide on what type of MA activity you're seeing in Q1 either as it relates to churn or new people stepping on board? Just kind of interesting, I mean we know the guidance out there just kind of interested in as dynamic you're seeing.
DerekYung: The business is I would say on plan. The expectation that we had for this Q1 was modeled after what we observed last year, which is there are a population of people who will take advantage of the open enrollment period to allow them to be able to switch into a plan that they think it's better for them. So we do have the benefit of hindsight of Q1 last year's experience where last year we didn't when we hadn't have seen this OE period in a long period of time. So we were able to invest into that a little bit more this year, but in general I would say things are tracking on plan for Q1.
DaveFrancis: The business is strong and we really feel really good about where we sit at the moment.
Operator: Your next question is from Greg Peters of Raymond James.
GregPeters: Good afternoon. I think in your prepared comments you spoke about the 2018 vintage with the retention being running a little bit ahead of plan last year. And I'm just curious about how you're thinking about retention characteristics for the 2019 vintage considering it's so much larger than the 2018 vintage. It seems like it could be a little bit more volatile but perhaps you have a view on that.
DaveFrancis: It's a good question, Greg. We are not trying to convey that we expect it to be more volatile, that's what you are picking up. From a forecasting an estimation perspective this year we have the observation from last year of how the open enrollment period in Q1 will play into customer retention and churn. That was a big wild card last year. We did our best in making the estimates of what it could be and build into invest in and this year now with the experience last year we were able to do better. We are guiding to a flat LTV and then behind that is largely an expectation that there will be no significant deviation from the churn or policy deviation we see in Medicare in 2020.
GregPeters: Okay. I want to pivot another comment you talked about your cost per acquired member and you said I think you said you expect them to be relatively flat in 2020 relative to 2019. Can you talk about what kind of --can you talk about your demand generation expertise? The reason why I'm asking is we're hearing about incidences of other competitors in the marketplace paying much more, a much higher acquisition cost than you guys are. I am just trying to reconcile some market talk with what you guys are reporting.
DaveFrancis: Yes. So let me clarify a couple of things numerically. As you did hear correctly that for Medicare marketing variable cost per approved member expecting that to be a flat year-over-year. We did also mention in prepared remarks that we expect our customer care enrollment cost approved member to improve year-over-year and in total for the P&L we are saying that for our sales and marketing and customer care enrollment cost to grow the same way as revenue so you heard that correctly. On the marketing side, we haven't seen what you mentioned impeding or growth. I think that's evident in our numbers. We have seen higher degree of competition in channels like direct response TV and in -- are like the competition sets for us is primarily still our carrier partners and FMOs. There are of course other brokers as well but really to competition set that we see emerging more so in channel like DirecTV really carriers in FMOs. Again in the market we haven't seen that affect us in that manner. We do have a competitive advantage in our marketing and in our strategic partnerships. So we had discussed in the past that is a growing area for us. We have strategic relationships with the largest pharmacies, hospital networks, and carriers and so on. And from a cost of acquisition perspective it is an area that on average is better than our direct marketing. And other than online marketing it is an area that we would expect to grow faster than others from a marketing perspective.
GregPeters: Okay. The final question would be I know you highlighted the substantial growth in your commission receivable both current and non-current. Can you talk about and I know you mentioned some of this in your prepared remarks, can you talk about the expense associated with that receivable maybe the biggest piece would be the non current. Is there any expense associated with that or is that pure cash?
DerekYung: So the commission receivable represents the cash collections to be collected associated with the commissions that we earn from carriers for the policies that we helped acquire customers for them on their behalf. So once that's happened and it's actually the reason why we recognized revenue we do. Our service obligation is completed and therefore we recognize the lifetime value of that. From an operating perspective other than reconciling the cash to coming in and the cash that we should be being paid as a broker record, there's no other cost associated with that. 
DaveFrancis: There's no cost against it, Greg. It's all -- the costs have been expensed in period and it's all cash it's going to be collected free of additional charge.
Operator: The next question is from Frank Morgan of RBC Capital Markets.
FrankMorgan: Good afternoon. Just one quickly couple of housekeeping. What's the implied share count in your guidance?
DerekYung: $25.7 million fully diluted.
FrankMorgan: Okay. In terms of the growth in the unassisted and assisted online enrollment, have you had any time yet to figure out what the retention is in that kind of cohort of your business over the long haul?
DerekYung: Frank, we have looked at that in the past. We haven't seen significant deviations in general depending on someone as telephonic unassisted online or assisted online. With that said you heard in the prepared remarks, we had a significant increase in the assisted online submission applications. So that is a newer component, and it's obviously too early to go to and to see and protect any long-term differences given the conversion rates and the customer feedback around the experience, we will be surprised if there is any difference in there --if there it's most likely positive.
DaveFrancis: Yes. Frank, the thing to keep in mind relative to these assisted online enrollments is that the tools that we put in the hand of the agents in terms of allowing the agents to then hand off the online enrollment piece to the customer either through an email or through a text exchange is a set of tools that is unique to us, and is something that builds the confidence as we have seen in the customer as they make their decision. So it's too early for some of these products to be showing any kind of meaningful deviation from historical retention norms, but given the increased level of conversion that we see when those products are used and what we believe is a higher level confidence in the customers purchase decision, we think that there's nothing but the potential upside there relative to persistency of that part of the book relative to what we've seen with the pure telephonic in the past.
FrankMorgan: Got you. And then I think you commented that the tail revenue you were expecting it to actually be flat. What was the tail revenue? 
DaveFrancis: So for the full year Medicare, yes, Medicare tail revenue was $55 million. So that includes a $42.3 million. So then the remainder is $13 million and that's -- it's flat in the guidance going in 2020.
FrankMorgan: Okay. And just to be --so is the $42.3 million, is that actual cash received or is that just --
DerekYung: It is not cash receive on a numeric basis; it is our revised expectations, what is expecting to be collected from those plans.
FrankMorgan: Okay. And I guess finally just some recent discussions we've had with some of the carry throughs, they've talked about some of the strategic value of third party, the benefits of third party broker relationships and seeking their input really about targeting specific markets, but also its impact on input, on plan design. Any-- have you seen this? Is it happening in any of your markets? And do you think it --what do you think the long-term implications would be for you, if so? Thanks.
DaveFrancis: Yes. Frank, we don't get into a lot of plan design discussions per se with our carrier partners. We do spend a lot of time talking with our carrier partners about what we are seeing in different parts of the market, and we occupy a unique perch within the Medicare advantage market in particular the Medicare market generally as it relates to the market approach and choice approach that we deploy. And that we are ingesting a tremendous amount of information on a very granular basis across the entire country relative to who is doing what from a premium benefit design and pricing perspective. So we are able to engage with the carriers and talk with them with a level of intelligence that that allows them to go into the next year thinking a little bit more intelligently about how they want to approach different markets, benefit design and that sort of thing. But as it relates to specifically getting into plan design and whatnot with the carrier partners they typically take a lot of the information that we give them, and then go in and do their black box work and it's part of the partnership that we have with them, but not a lot of involvement in design but certainly a lot of involvement on the intelligence side.
Operator: And your next question is from David Styblo of Jefferies.
DavidStyblo: Hi, there. Good afternoon. Thanks for the questions. First one was just a circle back on the agent count. So I think you guys were looking to double that in 2019 and maybe you did and a little bit more than that was the end result. I'm curious can you give us an update on your plans for hiring and growth in telesales agents both that you guys have or also metrics that we could think about for those that you're outsourcing and how you're going to use that to flex up and down? And how that how that growth compares to the core revenue growth.
DaveFrancis: Yes. So, Dave, we're not going to give out specific agent counts right now, but I can give you a little bit more color. So this last year we did invest significantly in gross agent counts that were higher than they were in 2018. We took the success that we had on the outsourced model in 2018 and levered that even further into our agent counts in 2019. We also expanded our internal capacity through this Indianapolis sales facility, as well as expanding in both the Gold River in Salt Lake City offices. As we approach this year, we are looking to obviously further expand to take advantage of the market growth opportunities that we continue to see robustly ahead of us, and we will use the ability to lever the internal and external forces in a way that allow us as Derek described to bring down our incremental cost of customer acquisition on the sales cost side. The C&E side by being a little bit more optimized relative to how we play with that mix of internal versus external, understanding that we will have on a gross basis more agents particularly as we go into the fourth quarter of this year.
DavidStyblo: Okay. And just to understand management philosophy, I mean if there's an opportunity in the market still small, you double last year and maybe got validation of what you are doing. Why not double it again or improve grow it by 50% or is it something where you just want to be a little bit more measured and making sure you don't get ahead of your skis? Or is there just some training lack capacity infrastructure that you have to contemplate as you grow that rapidly?
DaveFrancis: Yes. I mean it's a balance between cost and making sure that we continue to manage the business to grow it as aggressively as possible without breaking it. We talked last year about the fact that we wanted to put as many plates on each end of the bar without breaking the machine and there is a non-trivial amount of management of a sales organization as large as we have been growing it. And it is quite frankly the rate limiter until we get even more of the business going online and letting the machines do all of the work. The ability for us to - from both the cost and a management perspective to grow that business as aggressively as possible without making it break is what we are acutely attuned to so. As we look at the --I would say as you look at the guidance that we put out last year and then how we performed against it, it's a similar way as to how we are looking at growing the business this year.
DerekYung: And, Dave, I understand a question I think there's also a timing aspect it to, we have put out our guidance but as we had on previous year we'll continue to evaluate what really we expect to invest in Q4 as we get closer given any improvement we see in our technology and also just generally what we see as an opportunity to get more market share later on the year.
DavidStyblo: Okay. Great. And then just on last one from a margin expansion standpoint. I know you guys want to update your longer-term projections at some point, but sitting around the 21%, 22% margin your case was to get 35% in 2023. I'm curious are you willing to talk about that relative to where you think you can go? Are we on track? Maybe you're making more investments right now to grow the top-line but how should we think about the cadence of the margin expansion over time going forward?
DerekYung: Yes. So I commented that we'll be working on a revised five-year outlook later on this year as we've done in the past couple years. In reference to how we perform in 2019 compared to the long-term plan that we had published last year on the revenue side we are a full year ahead of that plan. On the EBITDA margin we're somewhere in between next year and the year after. So we're not full year ahead but from an EBITDA dollar perspective, we're actually ahead of by four-year as well. So what you're saying generally is right is as we are growing at faster rates that we had expected given the opportunity in front of us, we are investing more into it. And on a kind of comparative basis on a margin percentage, we're not getting to that point but certainly we're delivering on the EBITDA dollars that we would expect and we're in fact a full year ahead of that.
Operator: And your next question is from Michael Newshel of Evercore ISI.
MichaelNewshel: Thanks, yes, maybe to follow up on the agent discussion. Can you just comment on the external agent vendor performance in AEP and why productivity was so much better than the initial guidance? Was that just conservatism or did the lead allocation algorithms perform well? Was it certainly over there are certain pockets or certain vendors that pull much better than you expected.
DaveFrancis: There was a combination of all of those. I think we did go in with a bit of a conservative view just to make sure that we weren't overstating our ability to deliver there, but candidly the performance of the outsourced agents improved almost daily throughout the entire AEP selling season. And a lot of that had to do with the tools that we deployed into all of the sales centers both internal and external. And the new agents just becoming more comfortable and fluent with the technology. That along with the fact that the marketing and the business development size of the business continued to drive high-quality business into the sales centers. It all added up to conversion rates that that were ahead of our expectations. We were really pleased with everybody's performance both internal and external.
MichaelNewshel: And I understand you're not telling us how many agents you're adding, but you have so many agents that were new this year that are returning, does guidance assume any productivity -- significant productivity improvements in the existing agent base? 
DerekYung: No. The guidance assumes same level of productivity from agents in total.
Operator: Your next question is from George Sutton of Craig-Hallum.
GeorgeSutton: Thank you. I don't know if we're letting Scott answer questions, but I'll ask the very commonly themed question I am getting from my side folks and that is George if I missed this stock in this story. And I wanted to address the question from the perspective of market share that you had both in 2019 and market share you think you could obtain over the next handful of years, particularly given that your 2020 outlook assumes you'll continue to gain meaningful share.
ScottFlanders: Yes. Hi, George. Thanks for giving me a chance to say something. We're still in an early stage of share capture and we're dancing around this here but to put a sharper point on it, our guidance is impacted by our current balance sheet and we wanted to guide with in what capital we can represent we have access to today. We do believe the market could --that we can penetrate it more fully if we had more cash and we will evaluate that as we get further into the year. As Dave and Derek both said, the year has started off strong. We're ahead of plan. We're ahead of guidance and we have every reason to think that our increasing share will be maintained. We think also that we're at the early stage of a secular shift from purchasing Medicare across the kitchen table to first telephonic and now telephonic assisted with online and online assisted with telephonic, and an increasing shift to fully online. And we're just perfectly positioned for all three. And it's always been my philosophy in the consumer businesses that I've run is you meet the consumer where they are. And we think we've done that.  We invested ahead of consumer in terms of our tech stack and our consumer experience online, but it's catching up to us now. And that's why we feel very strongly just about our accelerating growth rates against the market itself, but also the margin expansion. We think we're just perfectly positioned.
GeorgeSutton: That's very helpful. So one other question relative to Medicare plan finder issues coming out of Q4. There were a fairly large number of unhappy customers coming from Medicare.gov. I'm curious if you have specific programs to target those folks in this new or expanded open enrollment period in Q1.
DaveFrancis: Yes. The short answer is yes with the very large caveat that we don't know exactly who those folks are unfortunately. We'd love for them to raise their hand. We do think that they're out there in the marketplace finding their way to us and back to one of the earlier questions; I do believe that that's part of what drove some of our out performance on the online side of the business both in major medical and in Part D business. But the fact remains that our MPS scores as Scott mentioned earlier on the telephonic side are still in the high 80s, low 90s and we're seeing just significant growth on the online side of the business that more customers are going to the web. And they're finding satisfaction with the tools set and the capabilities that they have to enroll on our platform.
Operator: Our next question is from Tobey Sommer of Suntrust.
TobeySommer: Thank you. As we look at your plans to increase productivity and margin, could you discuss your major initiatives for 2020 which my understanding may include working with the indirect channel, as well as exploiting some of the investments you've made in databases and in platforms that can kind of shorten the time that it takes to do an enrollment over the phone and make the customer experience better.
DaveFrancis: Yes. Tobey, we've talked a lot about the fact that on both the partner side and levering some other tools in the marketplace that getting more customer information, more data specific to each and every customer to enable either our agents or the online platform to provide a more friction-free and more accurate assessment of what's the best product for that customer to get them to the right place faster and easier from a planned selection and enrollment perspective. It's a key area of focus for us. We are -- a lot of the technology investments that the Derek referred to in his remarks are related specifically to that. How do we integrate more deeply with our business partners in the hospital, pharmacy affinity and increasingly the financial services markets? How do we access customer data through tools like blue button and what have you - to be able to know more about our customers to make the enrollment decision and process that much easier and more confidence-inspiring for them? And that is a key area of focus for us and is an area where we think we've got a large lead on the marketplace and continue to invest to extend and maintain that lead.
TobeySommer: One final question if I could. In terms of the share gains that you are taking in the market, do you have a sense for whether they're coming from other brokers or from the managed care companies themselves or combination of both? Thanks.
DaveFrancis: We think they're coming from the more traditional brokers.
Operator: And your final question is from Lisa Springer of Singular Research.
LisaSpringer: Thank you. My question concerns the unassisted and partially assisted application submitted online with the positive trend in that, looking forward, say over three to five year period and as you build out the technology platform how should we think about their percentage looking forward? And do you think you'll encounter a natural ceiling at some point that it'll be very difficult to make it higher than say 50% to 70% of the applications?
DerekYung: So it built in our guidance expectation in 2020 that our overall online submission for applications in Medicare will be 34%. Within that there's growth in both the assisted and unassisted online application submission. On your question of whether there's a natural ceiling, it's a good one and a good one that we asked internally as well. Clearly, there is a trend as people age in the Medicare who is more tech savvy; they will have a great infinity of using the tools online. With that said if you were to analyze feature by feature our technology engagement and capabilities. They are good. They are not best-in-class when you look across other industries. They are more mature with e-commerce. So our product and technologies team feel strongly that even without the secular trend around people aging in, there are improvements to be made and our ability to capture people more online both assisted and unassisted.
DaveFrancis: Yes. At least there likely is a ceiling at some point. I mean it's a demographic and a very complex set of products that lends itself to wanting more help. With that said we're investing heavily to put those tools and as many of those tools as possible in the customers hands. The other piece here is that we internally about a year and a half ago we set a very aggressive goal we even have t-shirts printed up that said fifty and five which was to have 50% of our enrollments within a five-year period to go online. We saw that as one of those big hairy probably unachievable, but we're going to go for it goals anyway and the way we're tracking we are going to get there a lot sooner than we had anticipated originally. So we're really pleased with the trajectory of both the assisted and the unassisted traffic that we're seeing. It shows the power and uniqueness of our platform and as Derek and Scott have said, we're going to continue to invest heavily into that to make sure customers have exactly what they want and need from a tool and engagement perspective. And take advantage of the uniqueness of our value prop in that regard. End of Q&A
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.